Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. And welcome to the Central Pacific Financial Corp. Fourth Quarter 2023 Conference Call [Operator Instructions]. This call is being recorded and will be available for replay shortly after its completion on the company's Web site at www.cpb.bank.  And with that, I'd like to turn the call over to Ms. Dayna Matsumoto, Group Senior Vice President and Director of Finance and Accounting. Please go ahead.
Dayna Matsumoto: Thank you, Greg. And thank you all for joining us as we review the financial results of the fourth quarter of 2023 for Central Pacific Financial Corp. With me this morning are Arnold Martines, President and Chief Executive Officer; David Morimoto, Senior Executive Vice President and Chief Financial Officer; and Anna Hu, Executive Vice President and Chief Credit Officer. We have prepared a supplemental slide presentation that provides additional details on our release and is available in the Investor Relations section of our website at cpb.bank.  During the course of today's call, management may make forward-looking statements. While we believe these statements are based on reasonable assumptions, they involve risks that may cause actual results to differ materially from those projected. For a complete discussion of the risks related to our forward-looking statements, please refer to Slide 2 of our presentation. And now I'll turn the call over to our President and CEO, Arnold Martines.
Arnold Martines: Thank you, Dayna, and aloha, everyone. We appreciate your interest in Central Pacific Financial Corp., and we are pleased to share with you our latest updates and results. We are proud of the recognition we recently received by Newsweek as one of the best regional banks in America for 2024. Also, in a few weeks, we will celebrate our 70th anniversary. It is an honor to lead this institution and continue our legacy of supporting the community. 2023 was another strong year for us as we successfully navigated the operating environment challenges while continuing to deliver solid results. We have a strong balance sheet and our balanced growth strategy positions us extremely well for the future. During the fourth quarter, we completed a few balance sheet repositioning transactions that were good opportunities to gain greater future returns and efficiencies. We will continue to pursue similar opportunities that align with our strategy in 2024. The team will provide additional detail and insights on our fourth quarter financial and credit metrics, but let me start first with an update on the Hawaii market. The Hawaii tourism industry continues to do well with Maui visitors recovering faster than anticipated. In the month of December, visitor arrivals to Maui were 75% of the previous year and total statewide arrivals were 90% of pre-pandemic 2019. Statewide, visitors from Japan continued to increase, up 92% from a year ago but still lagging pre-pandemic levels at only 49% at 2019. Total visitor spending was $1.96 billion in December, down 1% from a year ago and up 12% from December 2019. Total hotel occupancy in December was 72%, up 0.7% from a year ago with an average daily rate of $428, down 3% from a year ago. Hawaii statewide seasonally adjusted unemployment rate was 2.9% in December and continues to outperform the national unemployment rate of 3.7%. The University of Hawaii Economic Research Organization forecast the state unemployment rate to remain very low at 2.5% in 2024. Real estate values in Hawaii are consistently strong. In December, the Oahu median single family home price was $1 million and the median condo sales price was $510,000. Home sale volumes continue to be down year-over-year. But with mortgage rates recently declined slightly, we are starting to see an increase in contract signings, and with limited inventory, properties continue to move quickly in our market. Overall, we are optimistic about Hawaii's economic outlook. While the state faces some headwinds and uncertainty, Hawaii's economy is proving to be resilient and we hope to turn unfortunate events like the Maui wildfires, into opportunities to rebuild and to make our island communities stronger in the future.  I'll now turn the call over to David Morimoto, our Chief Financial Officer. David?
David Morimoto: Thank you, Arnold. Turning to our earnings results. Net income for the fourth quarter was $14.9 million or $0.55 per diluted share. Return on average assets was 0.79%, return on average equity was 12.55% and our efficiency ratio was 64.12%. At year end, our balance sheet reflected further strengthening of our liquidity position with higher levels of cash as we continue to be balanced with our loan growth. Our total loan portfolio decreased by $70 million or 1.3% sequential quarter, primarily due to us continuing to let our Mainland loan portfolio runoff and partially offset by growth in our Hawaii commercial real estate and C&I portfolios. Our total deposit portfolio decreased by $27 million or 0.4% sequential quarter as we ran off some higher cost government time deposits. Total core deposits remained relatively flat despite some continued migration from demand deposits to CDs. From an average balance standpoint, the trends indicate the movement out of noninterest bearing DDA is continuing to slow. Net interest income for the fourth quarter was $51.1 million and decreased by $0.8 million from the prior quarter, primarily due to higher funding costs. The net interest margin was 2.84% in the fourth quarter, a decline of 4 basis points sequential quarter. Our total cost of deposits was 1.22% in the fourth quarter and our cycle-to-date total deposit repricing beta was 23%, which remains within our expectations. Our margin compression continues to narrow. And with that positive trend as well as the expected benefit from our pay fix receive float swap, we expect our NIM to trough in the first half of this year. As Arnold mentioned, during the fourth quarter, we completed a balance sheet repositioning where we sold an office real estate building and utilized a $5.1 million pretax gain to improve prospective earnings through an investment portfolio restructuring of approximately $30 million at a loss of $1.9 million in a branch lease termination where we incurred a onetime charge of $2.3 million. Overall, the three nonrecurring transactions positions our balance sheet for improved future performance, which we estimate to be an increase to annual pretax income of $2 million. Fourth quarter other operating income was $15.2 million, which includes the aforementioned gain on office sale and investment portfolio restructuring loss. Additionally, we had higher BOLI income in the fourth quarter, which was driven by the equity market rally and offset by higher deferred compensation expense. Other operating expenses totaled $42.5 million in the fourth quarter and included the charge on the early branch lease termination. Our effective tax rate declined to 22.3% in the fourth quarter, primarily due to higher tax exempt only income. Going forward, we expect our normalized effective tax rate to be 24% to 25%. During the fourth quarter, we did not repurchase any shares. Finally, our Board of Directors declared a quarterly cash dividend of $0.26 per share, payable on March 15th to shareholders of record on February 29th. Our Board of Directors also authorized a new share repurchase plan to repurchase up to $20 million of our common stock in 2024.  I'll now turn the call over to Anna Hu, our Chief Credit Officer. Anna?
Anna Hu: Thank you, David. Our asset quality remained strong in the fourth quarter with nonperforming assets at 9 basis points of total assets and criticized loans decreasing to 0.92% of total loans. Our loan portfolio continues to be well diversified by loan type and industry sector. Over 75% of the loan portfolio is real estate secured with a weighted average loan-to-value of 62%. Our commercial real estate portfolio represents 25% of total loans and is diversified across all asset types with 8% of outstanding balances in this portfolio maturing in 2024. Our commercial real estate office and retail exposure remains low at 3.5% and 4.8% of total loans respectively. The office portfolio has a weighted average loan-to-value of 56% and 71 weighted average months to maturity. The retail portfolio has a weighted average loan-to-value of 64% and 61 weighted average months to maturity. Our loan exposure to the Lahaina Maui area was $111 million or 2% of total loans before the August wildfire. Since then, balances have paid down slightly to $103 million or 1.9% of total loans as of December 31st. We estimate that $90 million or 87% of the total Lahaina Maui loans outstanding were not directly impacted by the wildfire and $11 million or 11% that were directly impacted have sufficient insurance and land value coverage. We are monitoring the remaining $2 million of Lahaina loans, which includes primarily consumer unsecured and small business loans. The US Mainland loan portfolio continued to decline during the fourth quarter due to the continued runoff in the Mainland consumer portfolio to $308 million or 5.7% of total loans as of December 31st compared to $452 million a year ago. Net charge-offs were $5.5 million for the fourth quarter, which equates to 41 basis points annualized as a percent of average loans. The increase in net charge-offs were primarily from our Mainland consumer portfolio. This portfolio continues to run off as new purchases remain on hold as a prudent measure. With that said, we believe that our losses in this portfolio have peaked and will improve going forward. Overall, our loan portfolio remains solid. Our allowance for credit losses was $63.9 million or 1.18% of outstanding loans. In the fourth quarter, we recorded a $5 million provision for credit losses on loans primarily due to net charge-offs. Additionally, we recorded a $0.3 million credit to the provision for unfunded commitments for a total provision for credit losses of $4.7 million during the quarter. Overall, our strong risk management culture and conservative underwriting policies continue to serve us well. Our loan portfolio credit quality remains strong and we continue to monitor the economic environment closely. Now I'll turn the call back to Arnold. Arnold?
Arnold Martines: Thank you, Anna. In summary, we are pleased with our progress and results for 2023. We believe, with our strong liquidity, capital and credit, we are well positioned to continue to deliver results with a focus on our mission of serving our customers and the broader community. As we celebrate our 70 years of serving Hawaii this year, I want to thank you for your continued support and confidence in our organization. At this time, we'll be happy to address any questions you may have.
Operator: [Operator Instructions] And it looks like our first question comes from the line of David Feaster with Raymond James.
David Feaster: Maybe just high level, I'd like to start on how you think about the potential impacts of Fed cuts. Obviously, that would benefit on the credit side. But is your sense there that maybe there's a decent amount of pent-up loan demand and we could see loan growth accelerate, especially on the mortgage front maybe and just how do you think about your ability to reprice deposits lower, if we do get Fed cuts?
Arnold Martines: I'll start, and then I'll turn it over to David for the second part of your question. With regard to the loan growth side of it, we do feel good about that this year. We think that the operating environment is going to normalize a bit. It has to be better than last year for sure. So we're building a strong loan pipeline as we move into the first half of 2024. We see most of the activity in the CRE and C&I loan categories but we do expect residential and home equity and a small business to also support growth in 2024. As you know, we continue to let the Mainland consumer loan portfolio runoff until we have better visibility on what happens in the US continent from an economic perspective. So with all that said, we anticipate full year 2024 loan growth to be in the low single digit percentage range. I'll just add that we see Q1 as a transitional quarter for loan growth, given that some folks are waiting to see what happens with the interest rates, to your point earlier. But all-in-all, we anticipate an improving operating environment supported by Hawaii's resilient economy. And I have to tell you, our bankers are excited and engaged for what we hope to be a good year to help our customers achieve their broader investment goals. So let me maybe have David cover some of the repricing part of your question?
David Morimoto: On the potential for rate cuts and what our plans are on the deposit pricing side, as we saw last year, we implemented a product segmentation strategy. We created some higher yield options for customers that were seeking higher yields, and those accounts obviously have high betas. And so we would anticipate that those high beta accounts would react pretty much 100% beta with the move in market rates. So on an overall basis, our expectation is that rate cuts would be somewhat beneficial to CPF and our NIM. But having said that, as we've consistently said, we do view the balance sheet as relatively well matched. So both in the rising rate environment and a falling rate environment, we don't see really large swings in our net interest margin. Our net interest margin tends to stay in a pretty well defined range. Hopefully, that helps, David.
David Feaster: And since we were just talking about deposits, let's stay there. I was hoping you could touch on maybe some of the deposit trends you're seeing and some of the drivers of the NIB outflows, whether you started to see that reverse course at all. And just how do you think about deposit growth as we look forward, some of the initiatives you put in place? Have you started to see any benefits from your Japanese partnership or any inflows from insurance proceeds in the wildfires? Or just kind of curious, again, some of the drivers of the flows in the quarter and then kind of the outlook going forward and some of your initiatives?
David Morimoto: On the -- again, core deposits, as a whole, were relatively flat sequential quarter, which is positive. There was some continued migration within core deposits out of DDA into interest bearing, however, Dayna Matsumoto did a good analysis. And we've been tracking the quarterly average balances of DDA and early in 2023, the sequential quarter declines were about $80 million to $90 million a quarter out of DDA. And then in the third quarter, it declined to $55 million and in the fourth quarter it declined to $30 million. And these are all quarterly average balances. So the trend is moving in the right direction. DDA represents about 28% of total deposits, which is where it was in late 2019 pre-pandemic. So all indicators are pointing that to the outflow or the migration out of noninterest bearing continuing to slow. And then yes, we will need to turn the tide and get it growing again and the teams are really focused on that.
David Feaster: And then maybe last one from me, just touching on the capital priorities. You talked about a pause last quarter on the buyback. You've made several balance sheet moves but those are capital neutral. I'm just curious maybe your appetite for additional securities restructurings or share repurchases, we put in the new program this quarter. Just curious, your thoughts on capital priorities given the strength of your capital base.
David Morimoto: The capital management remains consistent. So we'll continue to pay the quarterly cash dividend at similar payout levels. And then beyond that, we are open to all alternatives, right? We do have -- the Board provided us another authorization on the share repurchase plan. And then like you said, there are still opportunities to do further balance sheet restructurings. And we'll be evaluating those options against each other. And with the buyback, we're the ultimate insider. So we'll make the decisions that we believe are prudent beyond the cash dividend.
David Feaster: And just confirming, it sounds like the margin guidance you're talking about for a trough in the first half, that does incorporate rate cuts?
David Morimoto: Our baseline forecast -- our internal baseline forecast has [three 25] basis point cuts in 2024, but not being in the first quarter. So again, I think the important thing to note on the net interest margin is the interest rate swap, the forward starting interest rate swap that we put in, in early 2020. So it goes live in April 1, 2024. And again, we're paying fixed at [210] and we're receiving Fed funds floating. So at the current time, we're 340 basis points in the money on 115 million. So by our forecast, if there are the [three 25] basis points cuts in 2024, the swap will add 1.8 million in net interest income, 2 basis points to NIM, $0.05 to EPS.
Operator: [Operator Instructions] And our next question comes from the line of Andrew Liesch with Piper Sandler.
Andrew Liesch: So just to touch base on the kind of the repositioning of the securities and the $2 million -- and then the offices as well, $2 million. How much of that do you think it's going to flow to the bottom line versus redeploy or reinvest it back into the franchise?
Arnold Martines: Andrew, that's a good question for David.
David Morimoto: Again, like all banks, we continue to invest in the franchise. As you know, Andrew, we've had multiple technology initiatives. First, we started with customer facing technology enhancements. More recently, we've been focused on the back office with some new software implementations. So I think the way to answer your question is it likely won't all flow to the bottom line. But what I would probably guide you to is our quarterly run rate guidance on [OE]. So we're still guiding to $40 million to $41 million per quarter or full year 2024 guidance in the $160 million to $164 million range. And then if you normalize 2023 for the nonrecurring, it ends up being like a low single digit annualized growth rate, which we believe is reasonable considering the inflationary pressures that we're all dealing with. So what I would say is we are finding some offsets. We will find some offsets for the -- to offset the full inflationary impact, such that the annualized growth rate and expenses is in the low single digit range.
Andrew Liesch: A good way to think about it. I noticed that the reserve ratio has been grinding higher the last few quarters. I guess, what are some of the drivers of the CECL model that's causing that to happen? Because outside of some of the losses in the Mainland consumer book and the credit performance has been excellent. So I'm just curious like what's driving in the CECL model the reserve ratio a bit higher?
David Morimoto: So like all CECL models, there is a baseline economic forecast. We use the Moody's. So we subscribe to Moody's for our economic forecast. And then there's the qualitative factors, the qualitative overlay on top of that. I think the grinding higher, it increased the basis point and I think it was primarily related to the Mainland consumer charge-offs. So Mainland consumer has been the one area that we've seen a little bit of credit deterioration, although, I would say that the deterioration is from an abnormally pristine period of time where all consumers were buoyed by the fiscal stimulus. So it feels like it's rising a lot but it's really only normalizing back to probably our normal expectations. I'm not sure -- does that address your question, Andrew?
Andrew Liesch: And then you alluded to it earlier that the high level of cash balances at quarter end or year-end, what are you thinking about those? Are those going to be redeployed somewhere, are there some more deposit declines in certain areas that can be used to fund? Just how should we think about the cash going forward?
David Morimoto: There was additional cash build during the fourth quarter, and I forgot to mention. So we had 4 basis points of sequential quarter NIM deterioration in the fourth quarter. 2 basis points of that was a result of the increase on balance sheet liquidity. And so going forward, the plan is to not increase on balance sheet liquidity further. I think we've done enough there. The fortress balance sheet is good, it's fortressed enough. So we probably won't grow it any further and we are looking at options to reduce on-balance sheet liquidity somewhat.
Andrew Liesch: So right now, maybe just hold it in Fed funds and earn that before another option for it?
David Morimoto: Obviously, Fed funds yielding [550] or close to [550], that's not a bad yield. Currently, the challenge is it's not going to stay there, right? So that's we're redeploying some of the on-balance sheet liquidity could make sense.
Operator: [Operator Instructions] And it looks like we have no further questions. So at this time, I will turn the call back over to Arnold Martines for closing remarks. Arnold, the floor is yours.
Arnold Martines: Thank you, Greg. And thank you very much for participating in our earnings call for the fourth quarter of 2023. We look forward to future opportunities to update you on our progress. Thanks very much.
Operator: Thank you, Arnold. And ladies and gentlemen, that does conclude today's call. Thank you all for joining, and you may now disconnect.